Operator: Thank you for standing by, and welcome to the PGG Wrightson Limited Half Year Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Stephen Guerin, Chief Executive Officer. Please go ahead.
Stephen Guerin: Thank you, Amy. [Foreign Language] Good morning, and welcome to the PGG Wrightson's results briefing for the 6 months ended 31 December 2025. My name is Stephen Guerin, Chief Executive Officer, and I'm pleased to provide you an overview today of our interim results for the 2026 financial year. Joining me on the call are Peter Scott, our CFO; and Julian Daly, General Manager of Corporate Affairs, who is also our Company Secretary. Today, I'll summarize a high level of our financial results and trading performance and will comment on our thoughts on the year ahead. There will be time for questions at the end of my commentary, and I welcome you -- receiving those from you. A more detailed commentary on our half year results are available in our half year report, which we released to the NZX online today. I will present -- not present all of the content outlined in our release, but will summarize key matters so that we can provide -- move on to the more questions and answer time at the end of this call. Turning to the financial performance. Operating EBITDA of $45.7 million was up $4.4 million or 11% on the prior corresponding period. Operating revenue of $619.4 million was up $49.1 million or 9%. Net profit after tax of $17.3 million was up $1.3 million or 8.6 -- sorry, 8% up. Just repeat that again, net profit after tax of $17.3 million was up $1.3 million or 8%. An interim dividend of $0.045 per share was declared today. We have reaffirmed our forecast for FY '26 full year operating EBITDA guidance of around $64 million. PGW delivered improved performance on the 6 months of the financial year, reflecting both strong operating execution and generally supportive market environment. The first half of the year was characterized by favorable commodity prices across a number of key segments for PGW customers. Dairy pricing remains supportive, providing confidence in cash flow stability. Red meat markets were particularly strong, driven by tight global supply and resilient offshore demand. Improved on-farm profitability translated into demand for PGW's livestock services, pasture renewal, agronomy and animal health products. All prices also improved during the period. Positive export pricing for kiwifruit and apples resulted in good demand for PGW's products and advisory services. By contrast, the viticulture and arable sectors have experienced weaker demand. The buoyant rural real estate market has contributed positively during the period, reflecting increased confidence across the rural property sector generally. Against this backdrop, PGW delivered improved performance across several key areas of the business. PGW invested in strategic initiatives designed to strengthen its market position and enhance customer value. Investments during the period include the acquisition of the animal health manufacturer of Nexan Group and the launch of PGW's Blue Ag agricultural product range. Turning specifically to the individual business units. Our Retail & Water business, which incorporates Rural Supplies, Fruitfed Supplies, Water and Agritrade saw operating EBITDA of $41.8 million, up $2.3 million or 6%. And revenue was $528.6 million, up $38.3 million or 8% on the prior corresponding period. PGW acquired the lease of the Geelan Family Research Station in Hastings, our long-standing commitment to research and development. The 2.8 hectare site provides our team with a dedicated hub for horticulture and agricultural product trials. This strengthens PGW's technical capability and innovation product development pipeline. PGW acquired the Nexan Group, owner of the Nexan and VetMed Animal Health brands. This acquisition strengthened our position by bringing this trusted New Zealand made product range in-house. This business is trading well, and we're already seeing the benefits of a well aligned to our strategic fit. Another key initiative was Blue Ag, our private label for AgChem range, which was launched and has been through its first trading season. The new portfolio of rich and active ingredients improves supply chain resilience, provides price point control and offers customers greater choice. Turning to our Agency businesses. Our Agency businesses include livestock, wool and real estate. The Agency Group delivered an operating EBITDA of $8.7 million for the first 6 months of the 2026 financial year, an increase of $1.8 million or 27% compared to the same prior period. Revenue was $89.8 million, up $10.7 million or 14% compared to the prior period. Cattle continue to be in high demand, supported by firm beef schedules, which encouraged increased trading activity. [indiscernible] prices were significantly higher than last year and confidence in the dairy sector improved on the back of strong milk forecast and pricing. Demand for our GO-STOCK products continues to grow with a large number of new contracts being signed. [indiscernible] throughput was also strong across the network. Bidr, our online trading -- livestock trading platform made gains through the first half of FY '26, reinforced by sustained demand for online bidding and live streaming saleyards and on-farm auctions. Headage volumes with key partners remained ahead of the prior period as more livestock was transacted through supply chain relationships. Momentum has gathered across a strong wool market with prices maintaining the upward trajectory, providing a more positive outlook for growers. PGW Real Estate delivered a pleasing first half performance, supported by continued confidence and improved profitability in the rural sector. Turning to the all important cash flow. PGW recorded operating cash outflow of $49.9 million for the first 6 months of the financial year. This represented an $18.9 million higher outflow versus the prior comparative period of $31 million. The higher operating cash flow was a result of a seasonal increase in working capital over the spring trading period. Strong trading in our Retail and Water and Livestock businesses, together with higher livestock values resulted in higher net working capital movements, including GO-STOCK of $22.3 million versus the prior comparative period. Cash outflows from investing activities was $20.5 million, an increase of $15.2 million. This included $19.7 million acquisition of Nexan Group, along with fixed asset and intangible purchases of $2.3 million, partially offset by proceeds from fixed asset disposals of $1.5 million. Net interest-bearing debt was up $64 million from 31 December 2024 to be $170.7 million. The Board declared a fully imputed dividend of $0.045 per share, which will be paid on the 8th of April 2026 to shareholders on PGW's share registry at 5:00 p.m. on the 26th of March 2026. We've included an update on our sustainability progress in the half year report, including the introduction of further electric vehicles into PGW's fleet. I refer you to Page 16 of the half year report for full details in that regard. Looking ahead for the remainder of the financial year, the operating environment is expected to continue to be predominantly positive and presents big opportunities for PGW in the sector. Overall conditions across agriculture remain favorable with most parts of the sector performing well, supported by good demand and strong export pricing. The red meat market remains particularly source of strength, underpinned by constrained global supply. The positive outlook for dairy was reinforced last week by Fonterra raising the forecast milk price midpoint range from $9 to $9.50 per kilogram of milk solids. Wool has also shown renewed momentum with improving demand assisting greater price stability. These conditions increased positive returns and underpinned farmer confidence. Horticultural continues a moderately steady expansion led by kiwifruit and apple sectors. Viticulture and arable cropping remain the key exceptions with subdued demand and pricing. Confidence in the rural real estate market is expected to continue, supported by dairy profitability and lower interest rates. The broader economic indicators are looking more encouraging also. Together, these trends contribute positively to farmer incomes and reinforce an optimistic outlook for the rural sector moving forward. PGW is well placed to support its farmer and grower customers and to benefit from opportunities arising from the forecast export demand. While remaining mindful of the ongoing challenges, we are optimistic about the remainder of the financial year and remain on track to deliver our forecast 2026 full year operating EBITDA guidance of around $64 million. Grateful to the contribution of our nationwide team of specialists and their commitment to supporting our customers and rural communities and each other. I want to thank and acknowledge our shareholders for their continuous confidence in PGW as we work to deliver long-term value. Our half year report is available on the New Zealand Stock Exchange website under the PGW ticker and on PGW's website also. This concludes the formal part of our presentation. And Amy, I now welcome questions from participants. Thank you.
Operator: [Operator Instructions] The first question comes from [ Paul Grant ], private investor.
Unknown Attendee: Good to have a growing result there. I'm just wondering what the NPAT contribution was for Nexan, it cost about $20 million as an investment. So what -- maybe I should ask you, Peter, what was its contribution to NPAT?
Peter Scott: Yes. Good question, Paul. If you go to Note 7 in the financial statements, you'll see the revenue and the NPAT, the NPAT contribution for the -- it was actually 5 months, so from the 1st of August through to the 31st of December, given we acquired on the 31st of July was $1.9 million. One thing to bear in mind, of course, is that Nexan -- most of the transactions are within intercompany, so they're eliminated from an accounting perspective, but the contribution was $1.9 million from an NPAT point of view.
Stephen Guerin: Paul, Stephen here. Again, I may add a couple of additional comments. As I said, that was -- as Peter acknowledged that's for first 5 months. In terms of our business case for approval from our Board, the business is trading ahead of expectations in that regard, too. So thank you for the question.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand back to Mr. Guerin for closing remarks.
Stephen Guerin: Thank you, Amy. And I want to again acknowledge the support of our staff in producing the result. The market environment is conducive, but our team have to get out of bed every day of the week and across the country, and we really appreciate their efforts in supporting our investors and their confidence in PGW. So thank you again. We look forward to talking to you in August when we deliver our full year results, and we're focused on meeting our market guidance. And we thank you for your time today, and we really appreciate you making yourselves available for this call. Thank you, Amy.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.